Operator: Good morning. My name is Josh and I will be your conference operator today. I would like to welcome everyone to Cronos 2023 Fourth Quarter and Full Year Earnings Conference Call. Today's call is being recorded. At this time, I would like to turn the call over to Shayne Laidlaw, Investor Relations. Please go ahead.
Shayne Laidlaw: Thank you, Josh and thank you for joining us today to review Cronos' 2023 fourth quarter and full year financial and business performance. Today, I'm joined by our Chairman, President and CEO, Mike Gorenstein; and our CFO, James Holm. Cronos issued a news release announcing our financial results this morning which is filed on our EDGAR and SEDAR profiles. This information as well as the prepared remarks will also be posted on our website under Investor Relations. This information presented during this call is preliminary and subject to change until the company's audited consolidated financial statements are filed with the SEC which we anticipate occurring later today. Before I turn the call over to Mike, let me remind you that we may make forward-looking statements and refer to non-GAAP financial measures during this call. These forward-looking statements are based on management's current expectations and assumptions that are subject to risks and uncertainties that could cause actual results to differ materially from those projected in the forward-looking statements. Factors that could cause actual results to differ materially from expectations are detailed in our earnings materials and our SEC filings that are available on our website, for which any forward-looking statements made during this call are qualified in their entirety. Information about non-GAAP financial measures, including reconciliations to U.S. GAAP, can also be found in our earnings materials that are available on our website. Lastly, we will be making statements regarding market share information throughout this conference call and unless otherwise stated, all market share data is provided by Hifyre. We will now make prepared remarks and then we will move to a question-and-answer session. With that, I'll pass it over to Cronos' Chairman, President and CEO, Mike Gorenstein.
Mike Gorenstein: Thank you, Shayne and good morning, everyone. As we reflect on 2023, I'm incredibly proud of everyone at Cronos as we have successfully steered our company through a variety of transformational changes. In addition to our products winning in the market, we have positioned Cronos well to capitalize on opportunities in 2024. We captured $30 million in operating expense savings in 2023 which exceeded our previously stated target of $20 million to $25 million. Following the $5 million overachievement in savings in 2023, we anticipate saving an incremental $5 million to $10 million in 2024. We exited our U.S. CBD operations to focus on adult-use products and we entered into a sale leaseback agreement for our Peace Naturals Campus in Stayner that we anticipate receiving $17 million for and we wound down operations at our Winnipeg facility which is currently listed for sale. These changes culminated in significant cash flow improvement and we stayed laser-focused on organic growth. We grew the Spinach brand to be the number 2 brand by market share in Canada, propelled by number 1 rankings in the flower and edible categories. We launched the Lord Jones brand in Canada, opened 2 international markets, Germany and Australia and continue to navigate our business through the war in Israel. Our cash and equivalents balance increased by approximately $22 million from Q3 to roughly $862 million, driven by operating expense reductions, increased interest income and improvements in working capital. Cronos has the strongest balance sheet in the cannabis industry and we continue to manage our capital responsibly, while maintaining our ability to launch innovative borderless products and creating a blueprint for selling into other cannabis markets as they open up. Starting with our growing international business. We continued ramping up with our German distribution partner, Cansativa, a leading distributor of medical cannabis in Germany. Cansativa has a network of approximately 2,000 pharmacies that currently supply around 300,000 patients in Germany's medical market. Our Peace Naturals flower products have quickly gained patient attention and loyalty which has elevated Peace Naturals to be a leading brand in the German market, led by winning genetics from our in-house breeding program, such as GMO Cookies and Wedding Cake. Within weeks of launching our GMO Cookies flower SKU achieved a leading position by market share in Germany. Reentering the German market was a significant milestone for Cronos and we look forward to expanding our reach and brand awareness with the help of Cansativa. On Friday, Germany's Chief legislative body approved a cannabis bill that opens up the cannabis market in Germany, including no longer classifying cannabis as a narcotic. This change allows us to more effectively market to patients and unlock the significant runway of growth in the market. We believe Cronos is well positioned with a leading distributor and best-in-class genetics to capitalize on the growth fueled by potential legislative changes. Turning to Australia; we continue to work with our partner, Vitura Health, of which Cronos owns approximately 10% of the common shares. Supply in the Australian market which has grown significantly in the past 3 years, reaching approximately $200 million in retail sales in 2023, according to BDS Analytics, is another accomplishment Cronos worked towards achieving in the back half of 2023. We look forward to working closely with our partners at Vitura to provide patients with high-quality cannabis products. Our German and Australian market entrances were a positive way to cap off the back half of 2023 and are expected to be growth drivers for us in 2024. Cronos will continue to look for additional international growth opportunities as 2024 progresses and new markets open and evolve. We have a leading flower breeding program and an innovation pipeline of winning in the Canadian market which were eager to bring in a broader subset of patients and consumers globally. Moving to Israel; despite the challenges of the war, our Israel colleagues have shown incredible resilience and resolve. They continue to push the business forward despite the war, geopolitical climate and market issues. Powered by our genetic breeding program, Peace Naturals continues to be a leading brand in the market with SKUs such as GMO and Wedding Cake leading the pack. These genetics are repeatedly proving to be winners as we enter new markets. In early January, we launched a new brand called Lit, Lit has a differentiated marketing positioning with a more approachable price point while maintaining the quality that's become synonymous with our existing products in market. Following stagnant patient growth count for most of 2023, the market experienced a rebound in growth in the fourth quarter, providing a positive tailwind for the industry. This coincides with the regulator, the Yakar, reviewing an overhaul of cannabis regulations that would gradually improve the ease of access for patients by moving to a prescription model and moving cannabis to a first-line treatment option for doctors treating certain disease indications. The growing patient count which now exceeds 140,000, coupled with potentially regulatory reform, can unlock growth for the industry and we are well positioned to take advantage of it. Turning to Canada; during the fourth quarter, we continued to execute our plan in creating a robust offering of borderless products, highlighted by new launches and strong market performance. Our Spinach brand closed 2023 as the number 1 ranked flower brand in Canada with a 6.9% market share in the fourth quarter, up from the 4th ranked brand in 2022. This achievement is the culmination of years of genetic breeding, R&D investments and best-in-class cultivation at scale with our JV Cronos GrowCo which has separated our products in the field Caping the leading position in flower around our strong year of growth and innovation for the Spinach product portfolio which is ranked the second best growing cannabis brand in Canada across all categories as of December 2023. In the edible category, Spinach edibles accounted for 16.2% of the market's retail sales in the fourth quarter, remaining the market leader in edible. We have an incredible product that continues to launch a new flavor profile in cannabinoid blends, the perfect example of a borderless scalable product. In total, we have 4 edible products in the top 15 market share rankings. The Spinach brand also recently launched its Strawberry Kiwi 5:1 CBD/THC SOURZ gummy. These gummies were designed to compete with other CBD forward edible products, seeing success in the market and the 10-pack offers a chance for these lower THC edibles to be shared among friends. Earlier this month, our Lord Jones brand launched Chocolate Fusions, an exciting first entry into the chocolate edibles category. Cronos' newest edible innovation was developed and designed by an expert team of culinary chefs, food scientists and leaders in cannabis product development. The bite size Chocolate Fusions feature a dynamic multi-texture experience combining a soft and chewy center, crunch infusions and an outer layer of rich creamy chocolate that delivers a decorative sweet treat for adult consumers. We believe Chocolate Fusions are a category-defining product that will expand the Chocolate segment. Chocolate Fusions deliver on what adult consumers have come to expect from our brands, truly differentiated, consistent and high-quality products that introduce new and unexpected ways to consume and experience cannabis. We look forward to growing the Lord Jones brand in Canada and building a bold, premium portfolio that changes the future of what is possible in cannabis innovation. Turning to vapes; I'm really excited about our efforts and the success we're seeing in this category. We climbed in the number 3 market share positioning, growing to 7.7% of the market in Q4. We've done a lot of work on our vape portfolio in the past year and it's great to see these strong results in the market. In 2024, we'll continue to evolve the vape category by providing consumers with flavor-forward profiles and rare cannabinoid combinations such as our new 1.2 gram format which was a large driver of the gains in the quarter. In January 2024, we launched Lord Jones Live Resin vapes in 2 different hardware options. The line-up features versatile sizes, including a half gram trial size and the convenience of an all-in-one device and a 1 gram stock-up size of the 510-thread cartridge, catering to both enthusiasts and those new to the category. Crafted with the discerning cannabis consumer in mind, these products embody a commitment to excellence, offering an unmatched combination of curated strains, pure live resin and high-quality hardware. I'm incredibly proud of the new products and we see them helping us penetrate more of the vape category in 2024. We also continue to improve and drive innovation through our Spinach pre-roll portfolio with several new infused products, including pink lemonade, peach punch and strawberry slurricane. Year-over-year, our pre-roll retail sales grew by 137% in the fourth quarter. In Q4, we added a Spinach Feelz Full Tilt THCV pre-roll to our infused pre-roll line-up. This pre-roll offers a boosted and elevated high due to THC and THCV blend and complements our existing THCV vape and Gummy products. In the fourth quarter, we launched the Lord Jones ice water hash fusion pre-rolls. The popularity of hash products in premium pre-rolls is increasing amongst adult consumers. Ice water hash is the most popular solventless infusion, that is the second popular infusion overall in the pre-roll category. These pre-rolls are crafted with an optimized ratio of premium high potency flower with complementary solventless ice water hash which preserves the buds' natural terpenes, fitted with a reusable ceramic pit to help cool the smoke. These new products have been extensively research and sensory tested to deliver a smoother experience featuring bold flavors. Both the White Tahoe and Cosmic Kush strains of our Lord Jones infused Fuse pre-rolls are selling well in the Alberta and DC markets. We're excited to see additional growth when the pre-rolls become available more widely in Canada throughout this year. With our award-winning pre-rolls and strong position in dry flower, we know we can continue to grow in this category under both our Lord Jones and Spinach brands through innovations and quality product offerings. Turning to our Canadian cultivation joint venture; GrowCo's performance and cultivation continues to be strong. GrowCo reported to us preliminary unaudited revenue of approximately $6.6 million from non-Cronos customers in the fourth quarter. Additionally, the credit facility that Cronos previously provided GrowCo, currently has $69.8 million outstanding following the principal repayment of $5.6 million by GrowCo in 2023. In addition, GrowCo made interest payments of $10.3 million in 2023. The solid financial performance of GrowCo yielding equity pickup, interest payments and loan paid back to Cronos is a vital component of our overall financial picture. Turning to the U.S. market; we are pleased to hear increased momentum to reclassify cannabis. Regardless of the specifics of how federal regulation and commercialization of cannabis products evolve, rescheduling would be an important step in the right direction for U.S. cannabis and we hope to see continued momentum in 2024. This year's success has resulted in significant operating expense savings and a substantial improvement in cash flow which better positions us to assemble a portfolio of borderless products with strategic infrastructure and global partnerships. Our long-term strategy to invest in brand innovation and stay asset-light is working and we're just getting started. The combination of these efforts and an industry-leading balance sheet sets up well to execute in any market. With that, I'd like to pass it on to James to take you through our financials.
James Holm: Thanks, Mike and good morning, everyone. I will now review our full year 2023 results at a high level before getting into the details of the fourth quarter. In 2023, we increased net revenue 1% year-over-year to $87.2 million with strong performance in Canada and commencement of sales to Germany and Australia, now in spite a slowdown in Israel. Constant currency consolidated net revenue increased 6% to $91.7 million. Total operating expenses declined by $30 million versus the prior year. Adjusted EBITDA improved by 12% to negative $61 million and operating cash flow improved by $46 million to negative $43 million. I will now review our fourth quarter 2023 results in relation to the prior year period. The company reported consolidated net revenue of $23.9 million, a 9% increase from the prior year. Constant currency consolidated net revenue increased by 11% to $24.5 million. The revenue increase was primarily driven by higher cannabis flower sales in Canada and cannabis shipments to Germany and Australia, partially offset by lower cannabis flower sales in Israel due to the war and competitive activity and an adverse price mix in the Canadian cannabis flower category, driving increased excise tax payments as a percentage of revenue. Gross profit in the fourth quarter was $1.9 million, equating to an 8% gross margin, representing a $0.7 million improvement from the prior year period. The increase is primarily driven by higher sales in Canada and continued supply chain optimization. Looking at the margin for the full year; we have been performing well in the first 9 months, highlighted by a steady margin profile between 15% and 16% through the third quarter. Unfortunately, due to both the war in Israel and increased competitive activity, margins were negatively impacted. As we look into 2024 and with a more streamlined operational footprint, we are working to further optimize our supply chain and add automation to our production processes to increase throughput and drive costs out of the system which should improve margins throughout the year. We anticipate that as we move through 2024, we will recover from the fourth quarter performance and build upon the success we had in the first 9 months of 2023. Consolidated adjusted EBITDA in the fourth quarter was negative $14.8 million representing a $4.2 million improvement from the prior year. The improvement was primarily driven by a decline in general and administrative and research and development expenses and an improvement in gross profit. Following the increase to our operating expense savings goal to $20 million to $25 million in Q2 2023, we are pleased to share that we surpassed the high end of the range by $5 million, achieving $30 million in operating expense savings. Due to the overachievement in savings in 2023, we're adjusting our 2024 savings projections to deliver an incremental $5 million to $10 million. Turning to the balance sheet; the company ended the quarter with approximately $862 million in cash and short-term investments which is up by about $22 million from the third quarter. In addition to delivering on operational efficiencies and maximizing the return on our cash, we received an interest payment on our GrowCo senior secured loan of $1.9 million and a principal repayment of $1.4 million for total cash paid by GrowCo to Cronos of $3.3 million in Q4. In total, for 2023, we received $10.3 million in interest payments and $5.6 million in principal payments. Having the best balance sheet in the cannabis industry enables us to take calculated strategic bets while we remain steadfastly focused on reducing cash burn. Moving to the cash flow statement; cash flow from operations was positive approximately $16.8 million, representing a substantial improvement. And free cash flow, defined as operating cash flow less CapEx was positive $15 million, another great achievement. We have many wins to point to market share gains, OpEx reduction, cash balance optimization and improving cash flow from operations and we are reaffirming our guidance that we anticipate the net change in cash, defined as the sum of cash and cash equivalents and short-term investments to be positive in 2024. Looking back on these improvements, I share on Mike's confidence in the trajectory of the business and our preparedness for entry into new markets as they become available. With that, I'll turn it back to Mike.
Mike Gorenstein: Thank you, James. 2023 was an impressive year for Cronos. We continue to transform our business and adapt it to where our industry is today. Our brands are winning globally, thanks to all the hard work from our employees to bring best-in-class borderless products to market. Our Spanish brand is the number 2 brand overall and holds number 1 positions in both flower and edibles. We launched Lord Jones in Canada by returning the brand to its cannabis roots with a suite of innovative and high-quality products and we can't wait to continue to build. Before getting into questions, I want to level set what is under the Cronos umbrella and where things stand today. We closed the year with approximately $862 million in cash and short-term investments and zero debt. We generated over $14 million in interest income in Q4 and we anticipate generating approximately $40 million to $50 million in interest income in 2024. In Canada, our Spinach brand is the second most popular brand. We brought the Lord Jones brand in the Canadian adult use cannabis market with products we know can win. We have a leading medical brand, Peace Naturals in Israel which posted $21.1 million in net revenue in 2023. In the fourth quarter of 2023, we shipped cannabis to Germany and Australia, extending our global reach. We have a 5.9% stake in PharmaCann, one of the largest U.S. MSOs currently on our books for $26 million. We own 50% of the equity in Cronos GrowCo which is profitable and GrowCo paid us $15.9 million in principal and interest payments in 2023. We have an approximate 10% stake in Vitura, the leading medical cannabis company in Australia on our books for $9.6 million. And finally, we have an exclusive partnership with Altria on a global basis. We stabilized our cash balance and drastically improved our cash flow trajectory, making us one of the best positioned cannabis company to take advantage of new market growth opportunities. We're heading into this new fiscal year energized and ready to take Cronos to its next chapter. With that, I'll open the line for questions.
Operator: [Operator Instructions] Our first question comes from John Zamparo with CIBC Capital Markets.
John Zamparo: I wanted to start on gross margin. You mentioned some of the reasons that, that was lower in the quarter versus Q3. I wonder if you could rank order those? And then are the initiatives that you identified for next year about automation and a few other items. Is the benefit of that included in your cost savings target for '24? Or would that be incremental to it?
James Holm: Thanks, John. So we showed steady results in the first 9 months of the year with gross margin ranging between 15% and 16%. Looking beyond the inventory write-downs, we showed steady improvement kind of throughout the year, right, with the exception of Q4. Unfortunately, due to the war in Israel and the increased competitive activity, those margins were negatively affected. We do anticipate as we move through 2024, we'll recover from that fourth quarter performance and build upon the success we had in the first 9 months. Positive impacts to our gross margin in the quarter will continue to be our cannabis extracts category that carry a higher margin profile and benefit from lower cannabis biomass costs as we continue to leverage our joint venture with GrowCo and improved fixed cost absorption in our Canadian supply chain as we continue to grow the business and further optimize our supply chain costs. Further, the announced exit of our Winnipeg facility is also anticipated to drive additional COGS savings in 2024, contributing to the $5 million to $10 million in savings target for '24. And then, John, as you alluded, there's some additional opportunity that we're driving automation into the supply chain. And so some of that is baked in as additional potential upside as well throughout the year.
John Zamparo: Got it. Okay, that's helpful. And then 2 parts, my second question. I just -- I would love to get your thoughts on each of Australia and Germany, in particular, how it relates to Cronos. Australia is seemingly interesting to a lot of different LPs it is becoming more crowded. Do you think that market has sustainability in terms of its growth? Are there barriers to entry that would prevent further participants from joining? And on Germany, what upside do you think Cronos has given you used the distributor model with respect to the recent change in legislation?
Mike Gorenstein: Sure. Thanks, John. So I think when you look at the Australian and German market, last year, there were similar sizes with the Australian market being a little larger and you see pretty similar barriers in other international markets just in terms of having the type of supply chain and kind of what you need to make sure you get products across the border and meet really tight specs. For us, similar to other markets, what's going to really matter is having great genetics and making sure that those genetics are grown very well. And so what's propelled us to lead in Israel and Canada and Germany is what we expect will allow us to succeed there. As far as growth relative to Germany, I think just given the country size, I wouldn't expect it to continue to outpace Germany but I do think there's still runway ahead. Germany, we already expected there to be degrowth but a week ago, having to vote to change the way the cannabis is treated, it is a bill that opened up the cannabis market and is no longer classified as a narcotic. And I think that's really significant because while people may talk about the adult use or kind of compassion clubs and what that might mean, really, for us, what this means is we are allowed to now effectively market medical cannabis. And that's a significant change. So I expect a lot of growth in Germany. And I think from an international market perspective, that's what the story should be over the next year.
Operator: Our next question comes from Bill Kirk with ROTH MKM.
Bill Kirk: So increased competitive activity was noted as a margin headwind. Were there specific formats or provinces where you saw that increased competitive activity?
James Holm: Yes. So thanks for the question. I'd say, overall, right, we experienced competition across the board, mainly what we were alluding to there was competition in Israel driven by the war. And so a lot of the competitors are essentially dealing with the same problems that we are today, there are supply chain issues there. Thankfully, our facility was not directly impacted and we have an extremely resilient workforce there. And so we've done a lot to stabilize and continue to produce and make sure we're providing our best-in-class products to the end consumer. We do experience a little bit of competition in Canada as well. But I think in Canada, you're saying that even in spite of the competition, right, we are number 1 in flower, number 1 in edible, number 3 in vape and number 8 in pre-roll and steadily increasing. So we feel very confident in our portfolio and in the products and innovation that we're bringing to market.
Bill Kirk: And then if I could follow up on Germany. Why would the changes in Germany help grow the medical market rather than if cannabis isn't a narcotic why wouldn't they call it the adult use -- unstructured adult-use market take share from the current medical market, right? If you could you help me kind of figure that -- think about that a little bit?
Mike Gorenstein: Sure, that's a great question. If you compare how cannabis has been treated in Europe versus North America, it's completely different. When you think about medical cannabis in the U.S., it's not really going through a pharmaceutical like system. And in Germany, it has truly been treated like a narcotic and so extremely, extremely restrictive marketing regime. Changing that and allowing you to actually go communicate with the benefits of having a superior product of ours to patients, I think, as a game changer. And the adult-use program that people talk about in Germany isn't really a commercial adult-use program. You're not able to have the same type of infrastructure you have in Canada or Germany, there's not actual legal adult-use sales. It's really just lessening the penalties of listed adult use markets. And I think with that, you won't expect to see quality products coming out, improved access to quality products. So it will bifurcate the sort of elicit market with a premium medical market. And you layer the ability to advertise and market on top of that, I think it's funneling people towards premium product.
Operator: [Operator Instructions] Our next question comes from Yewon Kang with Canaccord Genuity.
Yewon Kang: This is Yewon Kang on behalf of Matt Bottomley. I just wanted to drill down on the gross margin question just a little bit more. Wanted to ask in relation to the relatively stable adjusted EBITDA loss that you guys saw this quarter. Could it be perhaps that there was some kind of reclassification of certain expenses between operating expenses and COGS that led to a drop off in the gross margin profile but a stable adjusted EBITDA loss this quarter?
James Holm: Yes. Thanks for the question. So as we mentioned, it really was predominantly driven by Israel and the increased competitive activity there due to the war and then some inventory write-downs related to that. So that's really the main driver.
Yewon Kang: Okay, got it. And in terms of Lord Jones launch, I know the launch was only a couple of months ago but could you just comment on maybe the initial reaction from the consumers that you're seeing across Canada and what the bud peddlers are saying about the brand?
Mike Gorenstein: Sure. Thanks. Yes, I think it's been very positive. As you mentioned, it's been -- it's limited in terms of the size of the launch so far. But we want to take a very tailored and cautious approach but when we look at distribution, we're seeing reorders, we're seeing strong demand specifically the hash infused pre-rolls, we're seeing at the top of the category. So we're very excited about that. And a lot of anticipation, I think, especially given the success we've had in SOURZ for Chocolate Fusions which we really expect to be a crowned jewel portfolio and something that cannot just define the category but push the overall chocolate category forward to where we can get -- it should be -- sits within edible.
Operator: Thank you. And this concludes the conference call. Thank you for your participation. You may now disconnect.